Operator: Good day, ladies and gentlemen, and welcome to the Advanced Energy Industries Q1 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] I would now like to introduce your host for today’s conference call, Annie Leschin, Investor Relations. You may begin.
Annie Leschin: Thank you, operator, and good morning, everyone. Thank you for joining us today for our first quarter 2015 earnings conference call. With me on today’s call are Yuval Wasserman, President and CEO; and Bill Trupkiewicz, Controller and Chief Accounting Officer. By now you should have received a copy of the earnings release that was issued yesterday evening. For a copy of the release, please visit our website at advancedenergy.com or call us directly at 970-407-4670. Now, I’d like to remind everyone that except for the historical financial information contained herein, the matters discussed on this call contains certain forward-looking statements subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Statements that include the terms believe, expect, plans, objectives, estimates, anticipates, intends, targets, goals or the like should be viewed as forward-looking and uncertain. Such risks and uncertainties include, but are not limited to, the volatility and cyclicality of the industries we serve; the timing of orders received from our customers, and unanticipated changes in our estimates, reserves or allowances, as well as other factors listed in our press release. These and other risks are described in Forms 10-Q, 10-K and other forms filed with the SEC. In addition, we assume no obligation to update the information that we have provided you during this call, including our guidance provided today and in our press release. Guidance will not be updated after today’s call until our next scheduled quarterly financial release. I would now like to turn the call over to Yuval Wasserman. Yuval?
Yuval Wasserman: Thank you, Annie, and good morning everyone and thank you for joining us for our first quarter conference call. As Annie mentioned, with us today is Bill Trupkiewicz, our Chief Accounting Officer, who will present our financial results for the quarter. As I’m sure many of you saw in our announcement on April 16, we recently hired Tom Liguori as our new CFO. With over 30 years in finance and operations, Tom is a strong leader with a great deal of strategic and operational management experience. He has been CFO at a number of public companies over the last 15 years and in his current role at Multi-Fineline Electronix he has built a strong global finance organization during a period of significant growth of the company. We are thrilled to have him join us on May 18 and look forward to introducing him to you over the next several months. As we continue to invest in our future growth we have strengthened our management team with new dedicated resources. First, we hired a VP of Business Development, who will be solely dedicated to managing our pipeline of opportunities and potential acquisitions. Given our leadership and growth aspirations in precision power solutions as well as the significant size of the target markets we’re pursuing, we believe this is an important addition to our team. Also this quarter, we broadened our regional footprint to include more industrial market by hiring a Country Manager in India to focus on our local strategic objectives and expand and develop our local infrastructure. Outside of our local inverter activities, India is evolving to be a meaningful market for Advanced Energy in a variety of additional areas in mainly in industrial applications. These hires enhance our leadership team and I believe will better enable us to execute on our strategic plan. Now, turning to our results, 2016 began with a solid first quarter on the top line and a very strong bottom line result. Strong shipments in semiconductors and growth in architectural glass coating drove our Precision Power revenue this quarter, offset by some industry digestion in industrial and flat panel display applications. Additionally, our industrial business was impacted by a continued strengthening of the U.S. dollar. As expected, we experienced a weak quarter in our inverter business due to winter seasonality and price pressure, coupled with the effect of our pending strategic alternative discussions on the sale. While total revenues were in line with our expectations at $141 million, profitability far outperformed at $0.57 non-GAAP earnings per share and GAAP EPS of $0.52, due primarily to the mix of business. This was largely due to a record quarter in semiconductor revenues, improved inverter margins, higher absorption rates at our factory given the increased throughput, and lower tax rate given the mix shift. All of this resulted in stronger margins and very strong cash generation of $28 million in the quarter. We ended the quarter with a healthy cash position of $156 million. During the quarter, we built upon our strength in winning a majority of the design wins that we pursue. In semiconductors, our previous design wins for advanced applications has began to migrate to early stage 3D devices as we continue to build on our presence in etch, PE-CVD and ALD applications in the North American and Asian markets. As we noted at our Analyst Day in February, key upcoming inflection points for semiconductor process solutions, including multi-patterning 3D device architecture and 3D packaging are important drivers of the adoption of our technologies in an increasing number of applications. This quarter we saw solid new design activity in our industrial applications, aided by the expansion of our Solvix product line outside of the EMEA region in new hard coatings and defense applications. We continue to actively diversify outside of traditional thin film markets by successfully targeting new markets and applications. For example, this quarter we had a design win in the life sciences segment where we penetrated a large analytical equipment customer for DNA sequencing applications with our high-voltage power solution. Our proactive alignment with industrial automation leaders also led to the expansion of our historically European-centric power control module business into new geographies. Just this quarter, we were awarded with the first power control modules engagement in China through a strategic industrial-automation partner. More importantly, we’re changing the way we go to market from traditional OEM-based account management and into more distributive channels in relationship with key channel partners. Our partnership with global leaders in industrial automation are expanding our ability to reach customers across a wide range of markets and applications. Now, let me turn to our performance. As I mentioned, the mix of products contributed significantly to our strong bottom-line performance. For the second quarter in a row, sales to our semiconductors hit a new historical high, increasing more than 30% year-over-year and 4% from last quarter. Our back-to-back record performance was fueled by double-digit growth in advanced etch to US OEMs, early shipment of new products to advanced applications, shipments to 200-millimeter processing tools, and pull-ins from key customers in Asia. Our strong penetration in advanced etch applications is a direct result of our important design wins over the last 18 months with our Paramount RF power supplies and our matching networks. We are currently in a production phase with these products for NAND and 3 D NAND applications, which we believe should drive future business. In our other precision power application markets, we saw revenue decline due to an industry pause in flat panel display, following a strong fourth quarter due to overcapacity in LCD, TFT tools, and a small decline in industrial applications. These declines were offset by an increase in glass coating revenue, driven by the adoption of our bi-polar DC power supply to new glass coating lines, and retrofit of existing, and by strong automotive demand in Asia, and the rebound of hard coating in EMEA the Americas and Korea. With regards to our service revenue, and in spite of an increase in demand, we saw a slight decline due to exchange rates. In our solar inverter business, we experienced another challenging quarter, as seasonal declines, price pressure, and the pending outcome of our strategic alternative process weighed on the business, leading to a 24.7% sequential decline in revenue. Despite the current market environment, we continue to pursue areas of inverter that show the most promise. For example, we are currently in the process of commissioning a 250 megawatt utility project in the US with a central inverter. During the quarter, we also won a significant 34 megawatt project in the UK with a three-phase string inverter product. This is enough for the win, as it is larger than any other three-phase string inverter project in North America, and the UK has not historically represented a focus market for us. We believe this win speaks directly to the differentiation of our string inverter offering, given the overall environment for inverters in Europe is still very challenging. In the central inverter market, we are supporting our North American customers by pursuing large size projects where our highly performing bi-polar 1000NX inverter is a preferred solution. Just recently, we were awarded a 325 megawatt portfolio of solar projects by the largest solar contractor in U.S., specializing in utility sales project, Swinerton Renewable Energy. The installation and commissioning of the portfolio of projects is expected to begin in 2015, and continue through 2016. Overall, we continue to serve our customers while driving cost down, as Bill will discuss in further detail. Despite lower revenue in inverters this quarter a large service content drove higher inverter margins. The first quarter of 2015 demonstrated just how efficient and powerful our model can be. With increased volumes of higher margin precision power products running through our factory, we were able to absorb more costs, lower our tax rate, and significantly improve profitability while generating a substantial amount of cash. Overall, we’re encouraged by the strong start of the year, especially from a profitability standpoint. Looking to the second quarter, we anticipate a decline in the semiconductor industry after several quarters of significant growth. This reflects the cyclicality of the broader market as major end user reduced their CapEx spend, softness from foundries and logic continues, uncertainty regarding the timing of continued DRAM and NAND investment, and capital reuse initiative from leading IDMs continue. Revenue from other precision power application should improve, offsetting some of the cyclicality with our diversified application focus. Finally, we expect some inverter recovery in North American market after the winter which may be partially offset by continued decline in EMEA due to competition and ongoing ASP pressure. Our operating leverage and ability to manage costs should also help mitigate the impact to the bottom line. We remain committed to executing on our long-term plan to drive profitable growth, strong cash flow and EPS, as we further strengthen our position as a leader in precision power. While we continue to support our inverter customers and deliver on the demand for our products, the profitability profile of the inverter market and the required market engagement differ from our long-term business goals and financial model. As such, we plan to come to a conclusion in our strategic alternative evaluation process during the second quarter. Finally, with the recent hires we believe we have the right team in place to help propel Advanced Energy to the next level by increasing our growth prospects, broadening our global reach, and delivering value to our shareholders. I would like to thank our customers, partners, shareholders, and our valued employees for their support. Thank you for joining us, and we look forward to seeing many of you in the upcoming quarter. I would now like to turn the call over to Bill. Bill?
William Trupkiewicz: Thank you, Yuval. In today’s call I will refer to both GAAP and non-GAAP results. As a reminder, non-GAAP measures exclude the impact of acquisition-related costs, stock-based compensation, amortization of intangibles, and other non-recurring items. A reconciliation of non-GAAP income from operations and per-share earnings is provided in the press release table. I’ll be referring to the slides posted on our website this morning. Now, turning to the first quarter results on Slide 11, total revenues in the first quarter were $141 million, a decrease of $11.6 million from the previous quarter and up slightly from the same period a year ago. We achieved our second consecutive record quarter in sales to our semiconductor applications which were partially offset by a seasonal winter decline in solar inverters and pricing pressures coupled with our ongoing pursuit of strategic alternatives and cyclicality of our industrial and flat panel display applications. Non-GAAP adjusted net income was $23.6 million, represented a 15% increase from the fourth quarter and a 30% increase versus the same quarter last year. We ended the quarter with a $156 million in cash and investments, the sequential increase of approximately $28 million over the previous quarter. Looking at a breakdown of our revenue performance on Slide 12, sales to semiconductor applications rose to a new quarterly record of $73.2 million, up approximately 4% sequentially, driven by our leadership position in etch applications. Service revenue was slightly lower at $12.2 million in the quarter, due to unfavorable foreign exchange rates. Sales to data storage and industrial applications decreased 5.5% to $16.1 million from $17 million last quarter, due to unfavorable exchange rates and a market slowdown in China. Flat panel display applications declined to $900,000 from $3.6 million, as the industry paused due to overcapacity in LCD tools. Renewable sales were $3.4 million, up from $1.8 million last quarter, due to a significant order for our first all bi-polar DC glass coating line from a leading glass manufacturer. Inverter sales decreased 24.7% sequentially to $35.3 million due to typically - typical first-quarter seasonal declines, pricing pressure, and the uncertainty surrounding the strategic alternative process. Now turn to Slide 13, despite the recording of a $1.9 million accrual for a potential uncollectible receivable in the quarter, operating expenses decreased to $37.9 million from $38.1 million last quarter, as we continue to manage our expenses. We incurred $589,000 of stock-based compensation and $1.9 million in amortization of intangible assets. GAAP net income was $21.3 million, or $0.52 per diluted share in the first quarter. This compares to $9.3 million, or $0.23 per diluted share in the fourth quarter and $14.7 million, or $0.35 diluted share in the same period last year. Non-GAAP adjusted net income was $23.6 million, or $0.57 per diluted share in the first quarter. This compares to $20.6 million, or $0.50 in the fourth quarter and $18.1 million, or $0.43 per diluted share in the first quarter of 2014. Turning to our balance sheet on Slide 14, we ended the quarter with $156 million in cash and investments, up approximately $28 million from $128 million at the end of last quarter. Overall, we were pleased with our first quarter results. Revenue were in line with expectations, highlighted by our second consecutive record quarter in sales to semiconductor applications. The mix of products, coupled with the high sales volumes running through our factory led to higher profitability and cash generation of approximately $28 million. Now turning to our guidance for the second quarter on Slide 15, we anticipate revenues to be between $126 million and $136 million. We expect an effective tax rate of approximately 7% to 10% for 2015, given the expected geographic breakdown of profits. Based on this, we expect GAAP earnings per share to be between $0.32 and $0.336 per share, and non- GAAP earnings per share to be between $0.38 and $0.41 per share. Expected non-GAAP charges for the quarter include stock-based compensation of $0.6 million, amortization of intangibles of $1.9 million, and restructuring costs at the inverter business ranging between $0.2 million and $1.0 million as we continue to work to reduce costs in this segment of our business. This concludes our prepared remarks for today. Operator, I’d like to open the call for questions.
Operator: [Operator Instructions] Our first question comes from Edwin Mok of Needham & Company.
Edwin Mok: Great. Thanks for taking my question and congrats for a great quarter. So first on the semi cap side, I think, Yuval, you mentioned particular wins in that area, which sounds really good. But if I look at your guidance - listen to your guidance to semi cap, you expect some moderation obviously after the first few quarter, a very strong quarter. But if I take the midpoint of your guidance, you’re down around $10 million sequentially and you said that the other pieces of business you expect to have some recovery. So that implies semi cap is down more than 10%, did I get that directionally correct, or if you can give some color on that?
Yuval Wasserman: So, Edwin, good morning. We usually don’t break down the guidance numbers. What I can give you in general, we expect a decline in semi in the second quarter, mainly driven by a end customer mix decisions about timing of investment in factories, in FABs and the demand that is projected to us by our customers. So we had really strong quarters and the last Q1 was a record quarter again driven by, again, as I said before, etch and pull ins from some of our Asian customers that requested their shipments earlier in - than Q2. In general, as I mentioned before, we’ll see a decline. I cannot exactly tell you the magnitude, but we expect a decline in Q2.
Edwin Mok: Okay. Then maybe I’ll bounce off and talk about the flat panel display. I was surprised how low the revenue was this last quarter, and you mentioned there was some digestion in the industry with regarding maybe a little overcapacity, right? So I was wondering do you have any kind of view in terms of how long that could last or should we expect this kind of the slow level to continue into the second quarter and beyond?
Yuval Wasserman: So one comment, our presence in the flat panel display business, we have a very strong presence in the touch panel part of the business and this touch panel business drove a significant growth for us in Q4. And what we saw is overcapacity in this specific area of the market. We expect to see recovery in the flat panel display market in the second quarter. If you look at our projection for Q2, we anticipate semi and glass to decline and all of the other industrial components and applications to increase in Q2.
Edwin Mok: Great. That’s helpful. Third question I have is you mentioned there is - with your plan to diversify in the industry, you mentioned that there is some change in the go-to-market strategy and you are going to work more with local partners, right? I’m also wondering how does that - is that process that you guys have already started? Where are you in that kind of for a newer go-to-market strategy for industrial space? And then in terms of cost structure-wise, how does that affect, either benefit or impact you in costs or margins?
Yuval Wasserman: Sure. Thanks for the question, Edwin. As we - as I think we covered that briefly during the Analyst Day. As we branch into new markets and applications, especially the industrial, general industrial non-thin film applications, high voltage applications, and the power control modules applications, we entered into a world where we have hundreds of products and thousands of customers, right? So in order to effectively approach the market, we migrated into more of a hybrid sales structure. We continue to serve our traditional customers with major key account teams that are very dedicated to operate intimately with those accounts. Example could be the major semiconductor equipment companies. However, as we branch out geographically into the industrial world, we started to operate in two additional models. One is strategic partners, channel partners. One of them, for example, is Rockwell Automation. Rockwell Automation, if you go to the Rockwell Automation website, you will find our PCM products on their website. So now we are partnering, and this is one example, with giant industrial automation companies around the world to pull our products through their systems and channels. Thirdly, as we go into the general industrial applications, for example, high voltage, we use existing channels and reps, distribution networks that we inherited through the acquisition and new distribution channel as we sign up after the acquisitions. These are - all of these are practically flexible costs, they do not increase our fixed costs. And put more feet on the ground, accelerate our penetration to world markets, increase our footprint and are very effective in terms of the cost of sales.
Edwin Mok: Great. Helpful. And then last question, and I’ll go away. So any kind of update you can provide on the strategy for the solar piece? And then I also noticed that, while you’re operating margins remain pretty low for the quarter, if I back out kind of a fixed offering expense that imply your gross margin for your solar business actually improved this quarter. What drove the improvement in the gross margin?
Yuval Wasserman: Okay. So let me answer the second question first. This quarter we saw an improvement in our inverter gross margin driven as a result for a significant increase in our service revenue, and this service revenue based on a large contract we had with a large customer came with significant higher margins compared to the product margins. Your previous question is a status of our project. We continue, as I mentioned earlier, we’re continuing the process of finalizing the evaluation of strategic options. As we continue to do that, we continue to manage and run the business. We continue to stand behind the products. We continue to support our customers. We continue to book orders and generate backlog. We continue to deliver on the products, and we continue to reduce the costs. Long-term, as we mentioned to you all during the Analyst Day, long-term the performance of this business is not in line with our strategic objectives and is not in line with our model and long term, as we presented to you, we see that business that we will depart from. But as long as we continue to have this business and own it, we continue to run it the best we can, to drive revenue and to drive profit.
Edwin Mok: Great. That’s all I have. Thank you.
Yuval Wasserman: Thanks.
Operator: Our next question comes from Krish Sankar with Bank of America Merrill Lynch.
Krish Sankar: Yes. Hi, thanks for taking my question. I have a couple of them. First of all, Yuval mentioned the reuse of the equipment being kin of a head wind. I’m kind of curious if you end up reusing the actual equipment, if I’m using a system for FinFET node or whatever it is, I will still need to upgrade the power supply, right? Is that a fair enough characterization or is it being too optimistic?
Yuval Wasserman: It’s really - it’s a great question, it depends. It depends on the actual process that is being implemented. Some of the processing equipment can be used as is and as we heard from large companies out there, people expect to see 80% to 90% capital reuse. The question is if they adopt new materials for, let’s say, thin film deposition, ALD or PE-CVD, they may require a change in the power delivery system. Similarly, depends on the etch process, if they go from standard etch to a more - much more sophisticated 3D type etch process, they may go to a different power supply delivery system. From my perspective, I think the driver for some of the recent design wins that we had, especially with our 2 megahertz power supplies, the pulse RX systems would be driven more by the transition into 3D etch applications in mass production than conversion of tools - existing tools to new power supplies.
Krish Sankar: That’s really helpful. And is there any way you can quantify going from like going into the FinFET node for you from a power product standpoint, how much increase in sort of available market it is?
Yuval Wasserman: I’m sorry, I couldn’t hear you. Can you repeat the question, Krish?
Krish Sankar: Can you quantify the move into the FinFET node, how much does it increase sort of available market, either overall for Advanced Energy power products or if you can say specifically for etch or that…?
Yuval Wasserman: It’s very difficult for me to predict that. I think if you look at some of our customers’ publications, there is some indication about what the migration to 3D devices, FinFET and 3D-NAND can impact, especially the position in etch applications. What I can tell you though that 18 months ago we started shipping our first 2 megahertz units to the market. These power supplies are specifically geared for those advanced applications, and what we see is a continuing increase in our shipments, and we are right now entering into more of a ramp situation as our products are entering into early stage production. We expect this specific application space to drive growth for us.
Krish Sankar: Gotcha. Just a final question $156 million in cash on the balance sheet, what is the minimum cash you need to run just the Precision Power Products business alone?
Yuval Wasserman: I think during the analyst day, I think we answered this question and the answer to the question was broadly at about $70 million.
Krish Sankar: Got it. Thank you very much.
Yuval Wasserman: This is something that we - I think that was a question we answered during the analyst day.
Krish Sankar: Yes. Thank you.
Operator: Our next question comes from Jim Covello with Goldman Sachs.
James Covello: Thanks so much. I appreciate you taking the question. I would love to drill down just a little bit more on the semi cap piece. Obviously different of your customers in that area have said different things, and one of the things I’m wondering about is if you’re seeing any difference in your business going direct to the semi customers versus selling into the semi equipment customers? Are you seeing any kind of differences in the dynamics of your business between those two customers?
Yuval Wasserman: If I understand your question correctly, most of our revenue comes from selling directly to the OEMs, the vast majority of the business. There is obviously - I think what - in term of dynamic, there is more influence, I think, if - by the end users on the market in general. The industry consolidates, we have now four or five companies building FABs, buying equipment, processing equipment maybe three or four companies that buy power supplies from two to three companies. So it’s a very, very concentrated market right now, and that may change the dynamic as through the value chain there is more cautious about - more caution about IP, more caution about the time to market, the acceleration of technology transition from node to node effects everybody, and it requires a little bit of new engagement model between our customers and their customers and our customers and us.
James Covello: Okay. That’s helpful. And then as a follow-up, I mean, I guess it’s sort of related to the same topic. A couple of the semi equipment OEMs had very good things to say. A couple of the other ones had a little bit more cautious things to say. I guess my faulty expectation was that you had a little bit more exposure to some of the customers that had some good things to say and some of the reuse issues were relegated to areas where you didn’t have as much exposure, but is that not the case?
Yuval Wasserman: Well, I - obviously our presence at various OEM is different and non-uniform and not only in terms of our content, but also in terms of which applications our products are being used for. Obviously a lot of the good news for us came from our penetration to the advanced applications. But at the same time we are a supplier to some of the second tier equipment suppliers that go into more of the less advanced applications like DRAM, and in that area, as you know, there is some changes due to the timing of investment in Korea, for example. So I think it’s a mixed picture, it’s not one zero.
James Covello: Okay. Very helpful. Thank you and good luck.
Yuval Wasserman: Thanks.
Operator: Next question comes from Joe Maxa with Dougherty & Company.
Joe Maxa: You mentioned solar is likely not in your long term plans. I’m just wondering what the thought is. You talked about filing - finishing up your strategic alternative process in Q2. Is there something that may be a short-term alternative before you part with this thing longer term?
Yuval Wasserman: As I mentioned before, we continue to run the business, we continue to book orders, generate backlog, serve our customers. Our inverters, especially in the utility scale, we have customers that designed our unique bi-polar technology into the future projects. We support them, we continue to deliver products to them, support the product. Our highly performing, the 1000NX product is a key feature in some of the utility scales project, and we continue to book orders and support them. We do that while at the same time continue to evaluate our strategic options, and as we said, we expect to conclude our process in Q2, and you will - you all are going to hear from us what the conclusion of that analysis is and what we plant to do.
Joe Maxa: Okay, okay. And also can you give us a sense, maybe a range of what we should - let’s say solar did go away at some point. What should we be looking at as far as a range of gross margin for the rest of your business?
Yuval Wasserman: So I think - I would send you back to the presentation we made during the analyst day and to really use data what we did we presented 2014 with and without the inverter business. And I think, it’s a very helpful analysis that you can refer to because it shows you really in real numbers what impact of the inverter business on the total business. And that will show you what will be the impact on - on profitability, what will be the costs that will be stranded behind when the inverter business goes away, et cetera.
Joe Maxa: Thank you.
Operator: [Operator Instructions] Our next question comes from Pavel Molchanov with Raymond James.
Pavel Molchanov: Hi. Thanks for taking the question. You referenced in your comments about solar that the ongoing process has had an effect on sales in the quarter. Is that basically a - kind of a nice way of saying that some customers are leery of buying from you guys just because the segment may not be around much longer?
Yuval Wasserman: Yes. Let me be more specific. Our large customers, what we call them T1 customers, continue to place orders, continue to take our products, continue to install our products, for example, the recent announcement we made about winning 325-megawatt portfolio project. Some of the smaller, more privately held, small project developers, especially in the U.S., are more concerned about the - what will be the outcome of our strategic evaluation process, and some of them are just pausing, delaying some investments or some of them decided to go with somebody else. But in general, yes.
Pavel Molchanov: Okay. Understood. And again, without sort of prejudicing how the process will conclude, as you started looking at strategic alternatives in December versus today, have you found more third party interest in either buying or doing something else, or has it been kind of more subdued versus your initial expectations?
Yuval Wasserman: Pavel, I’m sorry. I honestly cannot - I cannot respond to the question, I’m sorry.
Pavel Molchanov: Okay. Let me try to frame it this way. The mark - overall industry conditions, bearing in mind, you know, the Chinese tariff and, price pressure, et cetera, has - is that about what you would have expected in December for now, May 2015 or do you think it’s deteriorated further? Just talking about the industry broadly.
Yuval Wasserman: The industry broadly, I believe, becoming - as I mentioned in my prepared remarks, I think in general the industry is becoming more challenging, especially in Europe, Germany. Interestingly enough - we see from our perspective one of the Asian regions is better than we thought. At the same time, I would say that in general we saw more price pressures, more fierce competition and more nervousness in the - in Europe. What I would say but at the same time, we see a little bit of acceleration of the investment in utility scale projects, and I believe and it’s my opinion could be an anticipation of a 2017 change in the ITC.
Pavel Molchanov: Okay. I’ll leave it there. I appreciate it.
Yuval Wasserman: Thanks.
Operator: Our next question comes from Jairam Nathan with Sidoti.
Jairam Nathan: My question was regarding gross margins. If I kind of look at your guidance for the second quarter and compare it to last year, your revenues are down on EPS pretty much flat to slightly up, so should we assume some of the gross margin strength that you saw in first quarter continues?
Yuval Wasserman: Bill, do you want to answer that?
William Trupkiewicz: Yes. I think we are confident in a mix shift that will support the forecast that we provided. There’s going to be puts and takes, obviously, as there are every quarter, but we’re confident in our estimate.
Jairam Nathan: Okay. So do you - okay. So the - specifically the benefit on the solar side from the service contract, that’s not one time, is that kind of ongoing?
Yuval Wasserman: That was a one-time. What Bill is referring to is as we look into Q2, we expect our product mix to change, and this is very typical in the industries we serve. Some of the industries we serve are lumpy, as I explained earlier regarding the flat panel display business, we had a very strong quarter followed by a weak quarter, and we expect to see an increase next quarter. So it’s all about the mix of products. If you look at Q1, the reason Q1 was better than what we guided for is a result of change in product mix, and this change in product mix and the addition of the unique service contract we had, shifted the total company gross margins, and this is - this is part of the industries we serve. Even when we look at the semiconductor industry, there is a certain level of uncertainty about forecasting driven by the decision of the factory, the end user to accelerate, to delay investment in DRAM or flash memory or logic. These changes vary rapidly going through the value chain and affect us. Our ability to be agile and to respond very quickly to demand changes and mix changes is what allowed us to be able to fulfill the demand and the changes within Q1. So the assumptions we made about Q2 are based on our assumed product mix and demand profile that we see - that we saw right now, we put together the plan for Q2. Obviously things may change, as I explained over the dynamic in the market. As Bill said, with this demand profile and with this product mix that we know we have right now, we’re very confident with the numbers.
Jairam Nathan: Okay. And my second question was on you mentioned some - ForEx was a head wind for the industry. Is that mostly like translation, or are you seeing some pressure on the kind of pricing side?
Yuval Wasserman: It’s mainly translation. Let me be more specific. As you know we acquired - we acquired companies in the Euro zone, and one of the companies we acquired in the Euro zone manufactures in Europe and sells in Europe, mostly. As we expand this business beyond the European regime, when we take this business and translate the revenue from euros to dollars, there is a translation impact on the top line. That’s exactly what we saw in this specific area. The good thing is as we continue to consolidate that acquired entity, we migrate our production to low cost zone outside of the Euro zone and expanding the revenue globally outside of the Euro zone, so we expect to be more diversified and less susceptible.
Jairam Nathan: Okay. Thank you. Thanks, that’s all.
Operator: I’m not showing any further questions. I’d like to turn the conference back over to our host.
Annie Leschin: Thank you all for joining us today. We look forward to seeing you in the upcoming quarter or on our next conference call, and we look forward to updating you on our further inverter plans, and we will talk to you all soon.
Yuval Wasserman: Thank you very much. Bye-bye.
Operator: Ladies and gentlemen, this does conclude today’s presentation. You may now disconnect and have a wonderful day.